Operator: Okay and. good morning ladies and gentlemen, and thank you for standing by. And welcome to the Triple-S fourth quarter and year-end 2009 results conference call. During today’s presentation, all parties will be in a listen-only mode. Following the presentation the conference will be open for questions. (Operator Instructions). This conference is being is recorded today Tuesday, February 9, 2010. I would now like to turn the conference over to Kathy Waller, with always communicate. Please go ahead ma’am.
Kathy Waller: Thank you, Matt. Good morning everyone. Welcome to today’s fourth quarter 2009 earnings conference call. With us today your host, Ramon Ruiz-Comas, President and Chief Executive Officer and Juan-Jose Roman, Vice President of Finance and Chief Financial Officer. I’m sure all of you have heard the Safe Harbor statement before, but we still need to get this housekeeping issue out of the way. Each quarter Triple-S Management Executives provide their current view of the Company's future. This means that they will share forward-looking information with you. As you know, these statements can be affected by risks and uncertainties involved in the business. Despite management's best efforts, what actually happens may be materially different from what you hear on today's call. To get a better understanding of why this may occur, please look at the Safe Harbor section in today's news release and in the Company's periodic filings with the SEC. In addition, the information shared on this call should be considered current as of only today. After today, please use this information for your reference only. And remember that the company assumes no responsibility to update it. This call is being webcast. Shortly after it ends, you will find an archived version on the Investor Relations page of the Company's website at www.triplesmanagement.com. If you don't have a copy of today's news release already, you can either find one on the Company's website or you can call me and we will get one to you immediately. Kathy Waller at 312-543-6708. In addition, we can always make sure you're on our distribution list going forward if you call me. With that, I’d like to turn the call over to Ramon. Ramon, please go ahead.
Ramon Ruiz-Comas: Thank you, Kathy. I would like to welcome everyone to our call today.. As you can see from our press release, we have added some incremental information and we format the tables to make the data more user-friendly. We believe that this will help our investors understand our business better. I want to take a few moments to review the business at a high level and then discuss our 2010 outlook. I will then turn the call over to Juan Jose to take you through an update in terms of the quarter and the year. Let me begin by saying that I am pleased with the solid revenue and membership results in our Managed Care segment, especially in the commercial business, and the contribution of the La Cruz Azul acquisition. This transaction demonstrates that one of our strategic initiatives to grow through acquisition is both achievable and accretive. And that a quick and efficient integration can be accomplished due to the combined strength of our infrastructure and management teams. As I look back at our company's performance over the last year, I acknowledge that while we face certain challenge, we deliver results. Premiums earned for 2009 increased to $1.88 billion, up 10.7% compared with the prior year. Our net income was solid and we're now serving 1.3 million members. The balance sheet remains healthy. Our reserves are significantly above those requirements to a statutory basis and our cash flow is excellent. Let me now turn to our cost trends. We are always at the top of the mind when managing our business. While we achieved a MLR of 90% in the Managed Care segment, 20 basis points above our guidance range for the full year, as we enter 2010, we are aware of the factors that affect this metric in 2009 and we're very focused on how we can influence them in the future. In the recent period this item include the effect of the swine flu, negative prior period reserve development in our Medicare Advantage business, and the impact of the pharmacy benefit component for our local government employee product. In 2010, in order to mitigate these concerns and others, we are taking a number of proactive steps. Effective March 1, 2010, we repriced the local government employees group contract, taking into consideration last year year's experience. We will continue to implement the comprehensive efforts that we have already commenced to manage pharmacy benefits in the Commercial segments including the substitution of OTC for prescription drugs and increasing generic penetration, and other initiatives. During the second quarter of 2010 we will start reviewing the credentialing of (inaudible) facilities, and expect to not only to only scale back our network, but also negotiate lower fees. We are also reviewing our medical management initiative, including our organizational structure, and the fees and case management programs. Finally, I believe that we (inaudible) incorporate the effect swine flu in our 2010 pricing. Going forward, we believe that both the commercial and Medicare business provide a most substantial opportunity for sustainable growth and (inaudible) our improvement. Importantly, Triple-S approach to growing its business and managing its cost is positively influenced by our inherent revenue on earnings diversification. By operating across three separate segments and in the case of Managed Care where we have three distinct businesses, this portfolio approach enable us to diversify risk and insulate ourselves from the volatility that can occur in any of those segments and business. Lastly, I want to comment on the five key initiatives that our management team and Board of Directors has outlined for 2010. First our main objective for this year is to continue to execute organic growth strategy through the addition of new products. We are always mindful of the need to have a comprehensive offering that meets the needs of our marketplace and still provides the highest quality care to our members. Second, we would like to complete at least another acquisition within or outside of Puerto Rico. For example, an acquisition in Latin America, where the culture and environment are similar to ours, and where we have the expertise to build up the infrastructure will make a lot of sense. Third, we will continue to expand our product offering to our customers to through cross-selling initiatives. We also remain focused on increasing our Medicare membership, which we believe can be expanded through a new contracting agreement with providers and by broadening the number of independent agents and brokers that sell our products. Fourth, we will continue to target a lower Medical Loss Ratio in the Managed Care segment, and improve our loss ratio in the Property and Casualty segment. As I have mentioned earlier, we have opportunity and initiatives in place to make this happen. Lastly in the first quarter of 2010 we expect our Managed Care - Managed Care segment will begin transitioning to our new electronic data processing system. This process will continue into 2011, when we expect to complete the full migration. Our new IT platform will help us in multiple ways, by increasing our operating efficiencies, further integrating our products and business, and accelerating our claims processing, to highlight just a few. Triple-S has built a leading franchise in Puerto Rico across its three business segments. And the value of the Triple-S brand has been consistently demonstrated by the loyalty of our clients and members, as well as the strength of our physician network. All of these elements combine to give us a platform from which we can continue to grow in 2006. We are confident that focusing on the underlying strength of our three core businesses, and the opportunity with each of them, along with continuing effort to drive costs down, will best position us for 2010 and beyond. I would now turn the call over to Juan Jose who will provide you with additional details on our financial results and the performance of each business segment.
Juan-Jose Roman-Jimenez: Thank you Ramon. I would like also to add my welcome to everyone on this call. Beginning with this quarter, we have revised how we will report our financial results going forward. Most importantly our press release will now contain additional data, which we believe will help our shareholders more easily understand our results and the primary drivers of our business. Specifically, we now provide a separate table, which contain key data for each of our Managed Care segment, as well as our Property and Casualty and Life segments. Our goal is to provide our shareholders with greater transparency and to improve our reporting. In addition, we will focus on comments on those areas of the business, which are impacting our results, both positively and negatively. Of course, we will entertain all inquiries after our prepared remarks. We hope that this help you, our valued shareholders, gain a better understanding of how your Company is performing. Now let's review our fourth quarter 2009 and highlights of our year-end financial results in greater depth. We were pleased with our top line performance, the continued reduction in the Medicare MLR, and our cash generation. Our growth was largely attributable to an increased enrollment in the commercial business and higher net premium rates in our Managed Care segment. We were pleased with the consolidated net operating revenues of $511.8 million, 11.2% higher than a year ago. At $406.3 million, consolidated claims incurred were up $42 million or 11.5%. Principally due to the increased claims in the Managed Care segment, driven by higher enrollment and partially boosted by the La Cruz Azul acquisition. As you can see from the press release, the consolidated loss ratio increased 170 basis points to 84.7%. Three-month consolidated operating expenses were $71.3 million. And the operating expense ratio at 14.3% was 70 basis points lower than the prior year. Consolidated net investment income fell 7.6% to $13.3 million for the quarter, reflecting reduced (Audio Dip) investment yields. Let me now focus on the discussion of our segment results. At $432.1 million, our Managed Care premium rose 10.5% year-over-year. The majority of the increase came from the commercial business, which was up 18%. The year-over-year gain is attributable to an increase in both premiums and membership.
.: Administrative service fees for the three months rose 162% bolstered by a 465,024 to increase in self-funded member month enrollment. This sharp increase is largely the result of a one-year ASO contract with the government of Puerto Rico to manage the Metro-North region that we began servicing on November 1, 2008, the new ASO commercial contracts that went into effect January 1, 2009, and ASO members acquired through the La Cruz Azul transaction. In addition, as a result of the savings that we were able to achieve in the ASO contract with the Puerto Rican government, we recognized a performance incentive of $6 million, about $2 million higher than we guided in our last earnings call. It is important to note that we are not assuming any performance incentive in our 2010 guidance. While the fundamental terms of the contract extension with the government are similar, the metrics were adjusted to reflect last year's experience. Therefore, what we might ultimately earn a performance incentive under this contract, at this point is very difficult to assess if any incentive will actually be realized. Managed Care segment claims of $383.3 million were up 11.9% year-over-year, primarily as a result of higher volume and MLR. The MLR for the three-month period increased 110 basis points to 88.7% primarily as a result of changes in prior period reserve estimates in 2008 and 2009 periods, and in the effect of prior period retroactive premium adjustments in the MA business. Excluding the effect of these items, the MLR will have increased 10 basis points year-over-year. The higher than anticipated Managed Care MLR mostly reflect the impact of AH1N1 or swine flu, of approximately $1.9 million or 40 basis points. Also, as previously disclosed, payment of the reform business that were last increased in July 2008, also had the effect of increasing the MLR. Since there were no rate hikes in this year's comparable period, the quarterly performance actually reflects cost and utilization trends in this program. As you may recall, our two fully insured contracts with the government of Puerto Rico that terminated in June 30, 2009 were first extended until October 31, 2009 and then again through December 31, 2009. In December 2009 our three government contracts, the two that are fully insured and the one ASO contract, were extended until June 30, 2010. For the year ended December 31, 2009 the MLR increased by 110 basis points to 90%, 20 basis points above our guidance range. If we exclude reserve development and nonrecurring MA and reform premium adjustments in 2009 and 2008 the MLR decreased 30 basis points to 88.9%. The Managed Care operating expense ratio decreased by 10 basis points to 10.8% for the three months ended December 31, 2009. For the 12-month period this metric rose 10 basis points to 10.6%, reflecting incremental expenses related to the acquisition of La Cruz Azul membership and the increase in self-funded groups. Operating income for the quarter was up 37.9% from a year ago to $25.1 million, reflecting the increase in administrative service fees income, partially offset by the period's higher MLR. For the 12 months ended December 31st, 2009, operating income totaled $57.2 million, $4.6 million or 8.7% above the prior year, due to the increase in administrative services income, partially offset by the increasing MLR, and the $1.5 million decrease in investment income. Moving now to our Life Insurance business, the main highlight here is a 160 basis point improvement in the loss ratio to 48.8% and a 220 basis point increase in the operating expense ratio to 53.9%, mostly due to the higher commission due to higher volume of business. Looking at our Property and Casualty insurance business, the segment loss ratio rose by 600 basis points to 44.8%, mostly as a result of a reserve release last year, but operating expense ratio improved by 310 basis points to 48.7%. The effective tax rate was 21.9% in the fourth quarter, and 17.8% for all of 2009. As a reminder, we do not file consolidated income tax returns, but we file by individual legal entity. So our effective tax rate reflect the changes in the taxable income of our business units, which are units, which are taxed at different rates, the proportion of tax-exempt investment income to regular income, and any available tax reduction strategies. Regarding our overall financial condition as of December 31st, 2009, total assets were $1.64 billion, up about $4.7 million on a sequential basis. Total investment in cash were $1.1 billion at the end of the quarter, relatively unchanged from December 31st, 2008. As of December 31st, 2009 we had $40.4 million in cash and cash equivalents compared to $46.1 million on December 31st, 2008. About 90% of our investment portfolio is invested in fixed income, and the other 10% in equity, including mutual funds. Approximately 96% of our fixed income portfolio is investment-grade and 63% is rated triple-A. We continue to invest in short-term maturities, which will again impact our investment income in 2010. Our net premium and other receivables increased $35.8 million from December 2008 to $272.9 million. The rise is mostly related to greater business volume and receivables from the government of Puerto Rico and its instrumentalities. Many of the balances related to the government of Puerto Rico and its instrumentalities have been subsequently collected. In terms of our medical claims payout, they were $236.4 million as of December 31st, 2009, an increase of $34.6 million from December 31st, 2008. The number of claims payable was 56.9, an increase of two days from the prior year. For the year ended December 31st, 2009 net cash generated by operating activities amounted to $66.4 million, principally reflected increase in premium collected on higher volume of business. In December 2009 we completed our $40 million share repurchase program. During the year we bought back approximately $2 million Class B shares at an average price of $12.92 for a total amount of $36.1 million. The repurchase was conducted in accordance with Rule 10b-18 under the Securities Exchange Act of 1984, as amended. In summary, our fourth-quarter and year-end financial results reflect continued solid top line growth, ongoing improvement in the Medicare MLR and positive operating cash flow, with a commercial business MLR that was somewhat higher than originally estimated. Our 2010 guidance detailed in the press release reflects our momentum in term of volume growth, a full-year contribution from La Cruz Azul, as well as the challenges we anticipate. We already have good visibility of some of our key drivers for 2010, including membership enrollment for MA and reform, which is inline with our forecast, and no major changes are expected. Our retention rate and membership growth in the commercial business so far are inline with our projections. Premium rates that have been incorporated in our guidance for all these businesses are also tracking expectation. Although our guidance assumes that the reform business will not receive a rate increase until July 2010, it is important to note that rates to providers in this program will also remain unchanged until that time. Finally, the challenges we face in 2009, such as increased utilization among government employees, and the impact of the swine flu, were taken into consideration when arriving at our 2010 pricing. Now that we have shared our thoughts with you, we'd like the opportunity to respond to your questions.
Operator: Thank you sir. Ladies and gentlemen we will now begin the question-and-answer session. (Operator Instructions). And our first question comes from the line of Tom Carroll, with Stifel Nicolaus. Go ahead please.
Thomas Carroll: Hi good morning. I apologize, I jumped on the call late here. But wanted to just ask you a bit about the volatility we have seen in your, I suppose, government-based MLRs. Right, so your commercial have been relatively flat over a number of quarters, but as we went into third quarter Medicare Advantage spiked, and now we are seeing kind of the reform MLR spike up, while MA comes back down again by several percentage points. I am wondering if you could talk to next year in terms of maybe do you see more stability in the MLR over time? And perhaps what are you doing differently to maybe increase the stability as opposed to seeing these swings up and down?
Stifel Nicolaus & Company, Inc.: Hi good morning. I apologize, I jumped on the call late here. But wanted to just ask you a bit about the volatility we have seen in your, I suppose, government-based MLRs. Right, so your commercial have been relatively flat over a number of quarters, but as we went into third quarter Medicare Advantage spiked, and now we are seeing kind of the reform MLR spike up, while MA comes back down again by several percentage points. I am wondering if you could talk to next year in terms of maybe do you see more stability in the MLR over time? And perhaps what are you doing differently to maybe increase the stability as opposed to seeing these swings up and down?
Juan-Jose Roman-Jimenez: Yes, Tom this is Juan Jose. In terms of our MLR we think that we will be more stable in 2010. And let me address each separately. In the case of the reform, as I mentioned, probably we have two items during 2009, that we don't expect them to be repeated in 2010. The first one is that we recognized within the year close to $9 million related to reserve for uncollected balances of 2006 and 2007. So we already reserve 100% of those balances, so we do not expect that again in, during next year. So that is one of the items. The second one is that this year we were expecting a rate increase in the premiums effective July 1st of '09 that didn't happen. Although we didn't get the rate increase as we discussed before, at the same time we did not increase rate increases to the providers. So that situation in respect to change in 2010. As I mentioned, we expect no rate increase until June. That was contract, that is the extension of the contract. But again, also, we will not increase rate to the providers. So we should expect a little bit more of a stable reform business next year. We do expect rates to change in that program effective July 1st. We are waiting for the government to do an evaluation of the benefits and deductibles before they bring the contracts up to date in June of 2010. In the case of the MA, a little bit of the fluctuation have been related to the changes in the membership that we have during this year, specifically in the dual eligibles. We have been, as expected, losing membership in that business as a result of the changes we make in the program at the beginning of the year. But probably in addition to that we recorded a significant retroactive premium adjustment, a positive adjustment during the year. When we look at the fourth-quarter specifically for the MA, a little bit of what happened is that in the first quarter is when we see the majority of the effect of the doughnut hole in the experience. So that is basically in MA you should expect next year fourth quarter again would be lower. But in terms of membership, we think that it will be much stable in 2010 in both programs, the dual and the non-dual.
Thomas Carroll: Okay. Great thank you.
Stifel Nicolaus & Company, Inc.: Okay. Great thank you.
Operator: Okay, thank you. (Operator Instructions). And our next question comes from the line of Charles Boorady with Citi. Go ahead please. 
Charles Boorady – Citigroup.: Thanks, good morning. I'm wondering if you could elaborate a little bit more on your acquisition criteria? You talked about the geographies that you're interested in, Caribbean, Central America. I am not sure if South America fits that criteria. Or North America, the U.S. you had talked about Florida and other markets in the past. So if you can elaborate a little more on the geography? And then also specifically what are some of the other criteria, aside from the geographies you are considering, such as return expectations, how you would pay for an acquisition, and other things that you're considering?
Ramon Ruiz-Comas: Hi Charlie, it is Ramon. In general terms we have established an acquisition criteria that our expected return should be between 12%, 15%. So irrespective of where we are making an acquisition, that is our expected return on any acquisition. Regarding the place, initially we have evaluated South America, Central America and the Caribbean. In the case of Caribbean, I will include Virgin Islands as a Caribbean island. Actually we remember that we obtained the license for Blue Cross Blue Shield. So in that case, if something appears in the Virgin Islands that would be something that we would consider. As a matter of fact, we expect that by 2010 we should be having more operation, even though today we have some business in Virgin Islands. As we have the federal employees and some clients that have office in Puerto Rico that has office in Virgin Islands. We already obtained those clients here in Puerto Rico. So we should continue to develop that business in the Virgin Islands. In the case of South America, at this point we haven't seen anything that attract us. And in the case of Central America, we already have mentioned that we will consider some countries like Panama, Colombia, Costa Rica. So we are going to focus mostly in the Caribbean and Central America.
Charles Boorady – Citigroup.: And in terms of size of an acquisition, and how you would finance it, what do you see as your sweet spot? And what’s the biggest acquisition you perceive doing? 
Ramon Ruiz-Comas: I would say initially it should be no more than $50 million or lower, because we want to be sure that we understand that market. We have the proper infrastructure to provide a service. And we look for opportunity of using our infrastructure in that process. So it shouldn't be a significant acquisition that we consider. Most likely I would say in these countries the health insurance industry is not too developed, so there is opportunity to grow. So actually it must be a combination of maybe life insurance with health insurance.
Charles Boorady – Citigroup.: Great. Maybe just as a final question, just on the components of your medical trends and what was unit price versus volume increase driven?
Juan-Jose Roman-Jimenez: In the Managed Care in terms of the volume well, the majority was driven by the increase in volume, especially in the commercial business, mostly because La Cruz Azul But if we exclude La Cruz Azul, even organically, we have a growth of about 30,000 member months in the fully rated, and about a net of 10,000 in the ASO organically, excluding La Cruz Azul. So the majority of the growth is really volume. In terms of average premium rate increase, net of buyback it is about 20.5%. 
Charles Boorady – Citigroup.: Okay, thank you.
Juan-Jose Roman-Jimenez: Okay
Operator: Thank you. (Operator Instructions). And we have no further audio questions. I would now like to turn the conference back to management for any closing statements.
Ramon Ruiz-Comas : I want to thank everybody for the opportunity to convey our results for the year. As we mentioned before, we are happy with the results, considering what happened in the economy, not only Puerto Rico, but in the U.S., we sustained very good growth. And the results were as expected. Therefore, we are focused on the opportunities that we mentioned before to – and the strategies to improve the 2009 results for next year, and that will be our goal for the future. So thanks everybody for participating in this conference call.